Operator: Greetings, and welcome to the American Coastal Insurance Corporation's Third Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, I'd like to let you know that this conference is being recorded. It is now my pleasure to turn the call over to your host, Karin Daly, Vice President at The Equity Group and American Coastal's Investor Relations representative. Please go ahead, Karin.
Karin Daly: Thank you, Diego, and good afternoon, everyone. American Coastal Insurance Corporation has also made this broadcast available on its website at www.amcoastal.com. A replay will be available for approximately 30 days following the call. Additionally, you can find copies of the latest earnings release and earnings presentation in the Investors section of the company's website. Speaking today will be President and Chief Executive Officer, Bennett Bradford Martz; and Chief Financial Officer, Svetlana Castle. On behalf of the company, I'd like to note that statements made during this call that are not historical facts are forward-looking statements. The company believes these statements are based on reasonable estimates, assumptions and plans. However, if the estimates, assumptions or plans underlying the forward-looking statements prove inaccurate or if other risks or uncertainties arise, actual results could differ materially from those expressed in or implied by the forward-looking statements. Factors that could cause actual results to differ materially may be found in the company's filings with the U.S. Securities and Exchange Commission in the Risk Factors section of the most recent annual report on Form 10-K and subsequent quarterly reports on Form 10-Q. Forward-looking statements speak only as of the date on which they are made, and except as required by applicable law, the company undertakes no obligation to update or revise any forward-looking statements. With that, it's my pleasure to turn the call over to Brad Martz. Brad?
B. Martz: Thank you, Karin, and welcome, everyone. I'm pleased to report American Coastal continued to deliver exceptional results during the third quarter with over $42 million of earnings before income taxes, representing our best quarter to date. Total revenues grew over 10% and despite general and administrative expenses normalizing in the third quarter without the nonrecurring payroll tax credits realized in the first half of the year, American Coastal was able to grow net income 16% year-over-year due to the muted catastrophe and attritional losses incurred. As previewed last quarter, we intentionally slowed premiums written in the third quarter to limit exposure growth through the peak of hurricane season and to hit our modeled expected average annual loss target, which was ultimately successfully accomplished. As the commercial property market continues to soften, risk selection and underwriting discipline remain paramount as we search for profitable growth opportunities. Looking forward, we believe the opportunity to earn strong returns on capital remains present even if headwinds from the current softening cycle persist. Accordingly, on October 1, American Coastal reverted to normal operations. So we do expect to see a rebound in premiums written during the fourth quarter with that positive momentum likely continuing into 2026. Our wholly owned MGA, Skyway Underwriters, recently introduced a new product and began quoting a new commercial residential property insurance program targeting the assisted and independent living facility market in Florida. American Coastal is only underwriting and retaining property exposure and will not be taking any liability or casualty risk. We believe the assisted living niche represents another attractive avenue for us to leverage our powerful distribution relationships and unique expertise in underwriting commercial residential property insurance by targeting properties that have similar physical risk characteristics to our condo and apartment policies, but are also expected to be diversifying to our risk portfolio. Page 10 of our earnings presentation provides more detail on this exciting new initiative. I'd like to now turn it over to our Chief Financial Officer, Svetlana Castle, for more specifics on our results.
Svetlana Castle: Thank you, Brad, and hello. I'll provide the financial update, but encourage everyone to review the company's press release, earnings and investor presentations and Form 10-Q for more information regarding our performance. As reflected on Page 5 of the earnings presentation, American Coastal demonstrated another strong quarter with net income of $32.5 million. Core income was $30.5 million, an increase of $3.6 million year-over-year due to $6.4 million increase in net premiums earned as a product of stepping down our gross catastrophe quota share from 20% to 15% effective June 1, 2025, and the earning of new business premium written in prior quarters. This was partially offset by increased operating costs of $5.6 million, driven by $4.5 million or 21.5% increase in policy acquisition costs. Policy acquisition costs increased due to an increase in commission to MGA and decrease in ceding commission income year-over-year. Our combined ratio was 56.9%, a decrease of 0.8 points from 2024 and lower than our stated target of 65%. Our non-GAAP underlying combined ratio, which excludes current year catastrophe losses and prior year development, was 57.8%, also below our 65% target. We continue to feel our reserve position is strong. Page 6 of our presentation shows our increased operating expenses of $5.6 million, as previously described. These increased costs were in line with expectations and were more than offset by the increase in net premiums earned mentioned earlier, driving additional net earnings shown. Looking at the full year results on Page 7 of the earnings presentation. Net income from continuing operations was $80.2 million, an increase of $9.7 million or 13.8% year-over-year. Revenues have increased $31.7 million or 14.6% year-over-year, driven by increased net premiums earned. Operating expenses increased $23.8 million year-over-year, driven by policy acquisition costs increasing $28.7 million. This increase was in line with expectations and driven by the quota share of step-down and commissions mentioned previously. G&A expenses partially offset this, decreasing $4.9 million, however, this was driven by onetime tax credit refund of $4.5 million previously unrecorded and disclosed as a gain contingency. Page 8 shows balance sheet highlights. Cash and investments grew 28.5% since year-end to $695 million, reflecting the company's strong liquidity position. Stockholders' equity has increased 38.9% since year-end to $327.2 million, driven by strong results. Book value per share is $6.71, a 37.2% increase from year-end 2024. The company continues to be in a strong position to execute its strategic initiatives. I'll now turn it over to Brad for closing remarks.
B. Martz: Thanks, Svetlana. I don't have anything to add. So that completes our prepared remarks today, and we're now happy to field any questions.
Operator: [Operator Instructions] And your first question comes from Greg Peters with Raymond James.
Charles Peters: So I'm going to -- I have 3 questions, one on the gross premium written decline in the third quarter. And related to that, I guess, would be the commentary in your presentation about pricing being down 13% also go to reinsurance. But first, for gross premium written, can you break up for us the part of the decrease that was related to suspending writing new business versus the portion that related to pricing being down, as you said in your press release, 13%, offset by I assume maybe there was some new business or maybe not?
B. Martz: Greg, this is Brad. Yes, we didn't suspend new business per se. We were still actively writing new and renewal business. We just had more stringent underwriting controls in place. So we set and manage our book of business by giving AmRisc on the condo side, for example, certain targets for total insured value or PML and/or average annual loss. And in this particular case, for this year, we had set an average annual loss target at 9/30 linked to our reinsurance [ buy ], right? So we have -- we want to always meet the targets for the amount of exposure we're going to have in force during hurricane season relative to what we told our reinsurance partners we would deliver on. So that was super important to us. Obviously, if you go over that target, there's flexibility, just no additional reinsurance premium. We could have continued to grow in the third quarter if we've chosen to do so, but we felt it was prudent to hold the line and continue to meet the targets we laid out for our expected average annual loss. So that's the real reason for the decrease. I think it's, again, something we can easily make up for in the fourth quarter and into the first half of 2026. So I wouldn't read too much into it.
Charles Peters: Okay. The other question, just -- in your press release you talked about the reinsurance costs as a percentage of gross earned premium quite down nicely in the third quarter of this year versus the third quarter last year. I know, I guess, the January 1 renewal is right around the corner. That's not the big [ wind ] contract for you. But maybe you could just give us a little sense or some sense of how the 1/1 renewal discussions are going, which I'm sure you're involved with at this point in time? And any early read you have on the wind contract that comes up in June?
B. Martz: Sure. We had some very productive conversations in Orlando in early October with about 3/4 of our reinsurance panel. We had, I think, a good dialogue about capacity and desire to grow alongside our reinsurance partners. So there's certainly strong support for American Coastal out there. But interestingly enough, we didn't -- the conversations were not centered or focused around price. We leave that to other metrics and price discovery tools, including utilizing our broker -- reinsurance intermediaries to evaluate the market and try and get a sense for what we can expect on pricing. So I think there's lots of capacity out there. There's certainly not a supply problem. The question is what will be the demand. And I see reinsurance costs moving in step with what's going on with our rates on the front end. So you mentioned our rates are down. That trend continued in the third quarter. So we are obviously looking at those headwinds from the softening cycle, like I said, and trying to understand what that means for returns on capital and the profitability of our business. So -- when I think about average premiums, they're really only down about 9% since year-end. But for the full year, they will be down commensurate with the risk-adjusted cost decrease we've received on our core cat renewal pricing at 6/1 of 2025. So as long as that continues, our outlook will remain positive. But certainly, an absence of major cat events in the second half of 2025 has helped provide some clarity around where pricing, both on the primary and the ceded side are headed.
Operator: [Operator Instructions] We have another question coming from Greg Peters with Raymond James.
Charles Peters: I'm going to ask one follow-up question just because you featured this in your presentation, which is the assisted living business. Maybe -- you have a lot of information on the slide on it, but maybe you can give us a sense of what you think the addressable market looks like for American Coastal and how that might factor into your growth for next year?
B. Martz: Absolutely. Thank you for the question. This is another opportunity for us, brought to us by some of our distribution partners. The initial market research we've done would suggest it's about $100 million market for the types of risk we're looking at, which is limited. It is growing. It could be double that in 10 years, as you can see by the growth projections. But it won't have a material impact on our results for next year. Similar to what we outlined for apartments, where we thought that was about a $200 million market opportunity. We'd write about 10% of that in year 1. I think you can think about ALFs the same way, where today, it's about $100 million addressable market opportunity. And if we can capture 10% of that in year 1, I think that would be a decent result. We're not looking to knock the cover off the ball right out of the gates. We've got a lot of learning curve in front of us, although we do feel very comfortable with this risk. What's interesting about it is that the properties we're targeting are eligible for the Florida Hurricane Catastrophe Fund, that's right in our wheelhouse. So just like apartments and condos, that provides us a cost advantage having that business in the Florida admitted market. So where it's eligible for the cat fund and the guarantee fund. So I think we'll have some success. It's a little early to forecast. So I would -- we'll have more details around our forward-looking projections for 2026 at our next Investor Day. We're currently targeting sometime in the first half of January, probably the second week of January, most likely. I don't have a definitive date yet to host an Investor Day where we'd like to update shareholders on our strategic initiatives for the upcoming year and update our full year guidance for 2026 for both net premiums earned and net income. So stay tuned for that.
Operator: And there are no further questions at this time. So with that, we will conclude today's call. All parties may disconnect. Have a good evening. Thank you.